Operator: Hello ladies and gentlemen. Thank you for standing by. Welcome to MamaMancini's Fourth Quarter Fiscal 2022 Earnings Conference Call. During today's presentation all parties will be in a listen-only mode. Following the presentation, the conference will be open for questions. [Operator Instructions] This conference is being recorded today, May 31, 2022, and the earnings press release accompanying this conference call was issued at market open today. On our call today is MamaMancini’s Chairman and CEO, Carl Wolf; President and COO, Matthew Brown; and CFO, Larry Morgenstein. Before we get started, I’ll read a disclaimer about forward-looking statements. This conference call may contain in addition to historical information, forward-looking statements within the meaning of federal securities laws regarding MamaMancini’s. Forward-looking statements include, but are not limited to, statements that express the company’s intentions, beliefs, expectations, strategies, predictions or any other statements relating to its future earnings, activities, events or conditions. These statements are based on current expectations, estimates and projections about the company’s business based in part on assumptions made by management. These statements are not guarantees of future performance and involve risks, uncertainties and assumptions that are difficult to predict.  Therefore, actual outcomes and results may and are likely to differ materially from what is expressed or forecasted in the forward-looking statements, due to numerous factors discussed from time to time in this report and in other documents, which the company files with the U.S. Securities and Exchange Commission. In addition, such statements that could be affected by risks and uncertainties related to factors beyond the company’s control. Matters that may cause actual results to differ materially from those in the forward-looking statements include, among other factors, the loss of key management personnel, availability of capital and other major litigation regarding the company.  In addition, this conference call contains time-sensitive information that reflects management’s best analysis only as of the date and time of this conference call. The company does not undertake any obligation to publicly update or revise any forward-looking statements to reflect future events, information or circumstances that arise after the date of this conference call. At this time, I’d like to turn the conference over to Carl Wolf, the company’s Chairman and Chief Executive Officer. Carl, the floor is yours.
Carl Wolf: Thank you, operator, and thank you, everyone, for joining us today. I'd like to welcome you to our fourth quarter fiscal 2022 financial results conference call. The fourth quarter was highlighted by the acquisition of premier gourmet food manufacturers T&L and Olive Branch, a highly symbiotic pairing with our distribution network. We expect to generate at least 35 million in sales in fiscal 2023 from the two acquisitions. The acquisitions significantly expanded our existing business in the rapidly growing fresh prepared foods segment, where we believe we can achieve a substantial increase in sales and EBITDA by leveraging established national distribution partnerships. This was quickly demonstrated during the quarter with the addition of T&L products into existing relationships at Sam's Club. Integration of the acquisition has proceeded rapidly, bringing with over 3,000 new locations for the combined company and over 10,000 spots on retailer shelves. Given our ongoing growth and the addition of revenue from the acquisitions, we believe MamaMancini’s will generate substantially over 20 million in sales in the first quarter of fiscal year 2023 and approach 100 million annual sales run-rate over the next year. This is possible through pushing more of our SKUs per relationship and driving stronger sales per location with complementary products with minimal overlap. Looking ahead to continue this momentum, we see attractive multiples in the food product space and will evaluate additional acquisition opportunities that are immediately accretive and have complementary products that are good candidates for our national distribution network. Our continuing new product innovations paid off in April as our first ever QB sale of the original meatballs in a cup product promptly sold out and received the notable order backlog, which we filled in the weeks following the QVC live presentation. The high protein content of 16 grams of very modest calories are attractive attributes to help conscious consumers. This product has the potential to efficiently service the existing convenience store, supermarket, and university food service opportunities. On the margin front, we are starting to more rapidly pass on price increases to our customers with minimal lead time, which should enhance margins going forward. This margin compression compared with 748,000 in acquisition expenses and 276,000 in inventory write-offs and increased expense accruals is what drove our temporary reduction in profitability in the fourth quarter. Our growing sales are a result of our high quality and innovative new products and our effective multi-pronged marketing efforts. These have historically included radio campaigns, social media efforts and continue work with QVC. I'd like to touch on a few of these now. On the social media side of things, we continue to maintain a robust reach, engaging new customers and encouraging repeat purchases. To date, we have over 500,000 likes and continue to geo target likely consumers who live within a 5 miles of specific retail locations. Our QVC efforts have seen record success as well with Dan Mancini’s live pitches driving impressive sales on their platform. As many of you are aware, we were winners for three QVC Consumer Choice Award, best meatball, best sauce, and most of all, most trusted brand.  Perhaps most notably, MamaMancini's product was named to coveted today's special value dealer on QVC worked on December 8, securing approximately 5 hours of airtime throughout the day, which drove expected sales of 2 million spread throughout fiscal 2022 and 2023, inclusive of auto delivery customers over the year. QVC is North America's largest direct to consumer marketer and is available over 100 million homes throughout the U.S. In summary, the last several months were a time of foundation building for the year ahead from which our vision of MamaMancini's as a national platform company will emerge. I'd now like to turn the call over to Larry Morgan to stay in our Chief Financial Officer, who will walk through some key financial details from the fourth quarter of 2022. Larry?
Larry Morgenstein: Thank you, Carl. Revenue for the fourth quarter of fiscal 2022 increased 38.5% to a record 13.9 million, compared to 10 million in the same year ago quarter. Revenue for fiscal 2022 increased 15.4% to a record 47.1 million, compared to 40.8 million in fiscal 2021. The revenue increase for the year was a result of establishing a greater balance of major customer volume, attributed growth in sales across the strong portfolio of both national and large regional grocery chains and club stores.  Gross profit decreased 26.8% to 2.4 million, or 17.4% of total revenues, in the fourth quarter of fiscal 2022, compared to $3.3 million, or 32.9% of total revenues, in the same year-ago quarter. Gross profit decreased 6.3% to 11.9 million or 25.2% of total revenue in fiscal 2022, compared to 12.7 million, or 31.1% of total revenues in fiscal 2021. The decrease in gross profit in the fourth quarter is primarily due to increases in raw material, packaging and in-bound freight costs, which outpaced sales price increases during FY22 Q3 and Q4. Operating expenses totaled 3.8 million in the fourth quarter of fiscal 2022, compared to 2.4 million in the same year-ago quarter. As a percentage of sales, operating expenses increased in the fourth quarter of 2022 to 27.2% from 23.8%. Operating expenses totaled 11.8 million in fiscal 2022, compared to 9.3 million in fiscal 2021. As a percentage of sales, operating expenses increased in fiscal 2022 at 25% of sales as compared to 22.7% in fiscal 2021. Operating expenses in the fourth quarter increased mainly due to transportation rate increases and fuel surcharges, 0.75 million in acquisition-related expenses, 0.20 million in increased accruals for freight and marketing expenses, as well as costs associated with uplisting to the NASDAQ. Net loss for the fourth quarter of fiscal 2022 was 1.3 million, or $0.04 per diluted share, as compared to a net income of 1.7 million, or $0.05 per diluted share, in the same year-ago quarter. Net loss for fiscal 2022 was 0.4 million, or $0.01 per diluted share, as compared to net income of 4.1 million, or $0.12 per diluted share in fiscal 2021. The decrease in net income was attributable to lower gross margin, higher freight and shipping expenses, acquisition related expenses, as well as increases in marketing accruals, and tax expense as compared to a tax benefit of $0.7 million in the prior period. Cash and cash equivalents as of January 31, 2022 was 0.9 million, as compared to 3.2 million as of January 31, 2021. The difference in cash balance is chiefly due to a substantial usage of cash to fund the acquisition made in December 2021. We do not anticipate any raising additional equities at this time and are confident that cash on hand combined with the cash generated from operations each quarter will be sufficient to sustain our core operations as we grow. This completes my comments. I'd now like to turn over the call to Matt Brown, our President and Chief Operating Officer for an operations update. Matt?
Matthew Brown: Thanks, Larry. On the operations side of the business, fiscal Q4 2022 was an exciting time as well as a challenging time. With the acquisition of T&L and Olive Branch, production for MamaMancini’s Holdings doubled overnight, requiring numerous trips back and forth on the Long Island Expressway to help learn the operations and meet the team. Once acclimated with the business, our first task was to evaluate and identify purchasing a [sale of companies] [ph]. Packaging material was an immediate low hanging fruit as we were able to introduce T&L to a key supplier of MamaMancini's. Through this introduction, T&L was able to switch over from their current packaging supplier, saving the company over 50% on key items by late spring. Basic suppliers were another easy switch and we anticipate 25% savings across the board on these items moving forward. We are currently working together on sharing common raw material suppliers, protein, and other volume items where our buying power again will enable us to see some major cost savings. The operations at T&L are not all that different in those at MamaMancini's, which will enable us to better evaluate on a project by project basis where we see the best fit for the production of these projects based on facility capabilities and line time. I am excited to open the doors and see where we can achieve – what we can achieve between these two facilities.  Meanwhile, back home in East Rutherford, the plant was busy with the launch of two new projects that were mentioned earlier and prepping for these projects back in fiscal Q3. Our meals for one line and our Meatballs in a Cup. Meals for one or MFO grew out of the post-pandemic needs of our supermarket partners to have access to readymade meals due to the labor shortages internally in their commissaries. To accomplish this, the plant in record time built a dedicated room for the assembly of these meals over the Christmas holiday and began first shipments in early January. Products included our mainstay spaghetti and meatballs, chicken parmesan, chicken fettuccine alfredo, and sausage with peppers and onions. All were made available in a microwaveable 14 ounce tray. This MFO line continues to gain traction and has increased to include a total now of 12 offerings to date. Project number two, meatballs in a cup, grew out of an old concept to offer our traditional beef meatballs and sauce in a portable cup that could be heated and consumed on the go. As Carl mentioned, QVC was the first to launch meatballs in a cup in fiscal Q4 and to no surprise it was an immediate sellout. In addition to QVC, in fiscal Q4, we obtained authorizations from two convenience store chains and a supermarket distributor. We anticipate first orders to occur within the next 60 days. As mentioned earlier, all this success was not without challenges. Supply chain delays continue to become the norm and we spent a good part of fiscal Q4 looking for more alternative suppliers for raw material. We were successful in keeping production in full swing, but at a cost of the overall margins in the plant as key components saw as much as a 25% increase in cost. We continue to monitor commodities of beef, turkey, chicken, milk, and wheat, which hopes that consumer pushback will eventually cause a softening of these never seen before inflationary prices. We are quicker to react to these increases with appropriate adjustments to our customers. However, the laws of supply and demand must eventually play its role and we can once again see the margins that we've been accustomed to seeing in the past. At this point, I will turn the call back over to Carl for some final notes before wrapping up the call for Q&A. Carl?
Carl Wolf: Hi, [Indiscernible] has disconnected. We will reconnect him as soon as he arrives. Hello? [Technical Difficulty]
Operator: Yeah. Mr. Wolf. You have been reconnected to the conference.
Carl Wolf: I don't know what happened. Okay. Hi, everyone. Hopefully, you can hear me. I was online. I don't know. I just – evidently conference [had to disconnect] [ph]. Alright. So, where I was, in summary, the last several months were a time of foundation building for what should be a record breaking year ahead from which our vision of MamaMancini’s as a national platform company will emerge. I look forward to continuing execution in the months ahead as we strive to create long-term value for our shareholders. With that, I'll turn it over to the operator to begin our Q&A. Operator?
Operator: Yes. Thank you, sir. [Operator Instructions] And the first question comes from Howard Halpern with Taglich Brothers.
Howard Halpern: Good morning. Congratulations on navigating these wild times right now. Just a couple of housekeeping, are there going to be any additional charges or write downs in the first quarter of this year or is that all in the fourth quarter?
Carl Wolf: There is a small acquisition charge related to the acquisition in that $55,000, which is a non-recurring expense, but as far as I know, that's the only charge.
Howard Halpern: Okay. And as Matt was talking about with gross margins and the headwinds that are there, even with the headwinds, are you going to be able to get gross margins back towards the low 20% area – low to mid 20% area by the end of this year even if the conditions persist?
Carl Wolf: Well, first of all, the margins are a little distorted because T&L and Olive Branch have lower gross margins with very low overheads. So, however, margins are increasing substantially right now for the quarter. And even though it's an average and overheads are in-line, so we expect results to be substantially greater or better than the fourth quarter. What's interesting is I think you and your projection had just about projected what we would earn. Sales were lower. So, it was not a total surprise as to having the headwinds this quarter.
Howard Halpern: And in terms of what you said, I guess, operating expenses. So, in the fourth quarter, if you take out the one-time charge, it's about, what 3.1 million, 3.2 million, it'll go incrementally up from there, but not substantially higher from there?
Carl Wolf : It should not be substantially higher.
Howard Halpern: Okay. That's good to know. And on the raw material and protein buying power, how long does that really take? How long is that going to take for you to get your hands around that? And get that implemented? Is that more a second half of the year story for you?
Carl Wolf: Some of it's occurring in the first quarter very substantial margin improvement. There should be additional substantial margin improvement in each quarter going forward. One of the issues has been the trades’ lack of accepting price increases. They now are much more flexible. So, we've had much, much greater ability to pass on price increases quicker. The other thing is some of the commodity prices are defying gravity and we expected them to normalize over the years in commodity prices, eventually they do normalize. As an example, I just read in the Wall Street Journal today. Lumber prices have dropped by 50% over the last two weeks.
Howard Halpern: Okay. And this is more about, I guess, your core operations. So, you had a number of good authorizations throughout the fiscal year you're just reporting on, but when are we going to start seeing those authorizations really hit the shelves and begin to ramp up with recurring orders going forward?
Carl Wolf: Well, we're seeing some of that in this quarter and we'll see more in the second quarter. Sales are very robust. You have to remember that in the long run, our company is geared to earn 8% operating profit. That's our norm. And if we are – we projected an over $100 million sales run rate this year. So, our goal is to get back to the norm, and the norm is $8 million operating profit.
Howard Halpern: Okay. And where do you stand, beyond I guess the two convenience store authorizations? Where do you stand within that segment and college and university area going forward into – towards the end, I guess of this year?
Carl Wolf: You're talking about the original meatball in a cup?
Howard Halpern: The meatballs in the cup and general food service going forward?
Carl Wolf: Food service is going slow, slower than we had hoped. The original meatballs in a cup. There were a lot of technical issues to properly heat the product. We've gone very slow. We have two orders we're holding right now. Three, actually. Three orders, we're holding right now, waiting for the final version of the cup. What we sold the QVC was a different cup. So, we didn't have the constraints of a convenience store. So, once we start, we can give you a better read on that.
Howard Halpern: Okay. Okay, guys. Keep up the great work.
Carl Wolf: Thank you.
Operator: Thank you. And this concludes our question-and-answer session. I would like to return the floor to Carl Wolf for any closing comments.
Carl Wolf: Okay. Thank you, operator. As a final note, we will continue to be active in attending investor conferences across the U.S. If interested in scheduling a meeting with management when we are in your region, please reach out to Lucas Zimmerman from MZ Group in our firm to arrange. We are planning to be at the LD Micro Conference next week. So, any of you are there, we'd be happy to meet with you. Thank you again for joining us today. We look forward to continuing to update you on our progress.
Operator: Thank you. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect your lines.